Operator: Ladies and gentlemen, thank you for standing by. Welcome to the United States Steel First Quarter 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Instructions will be given at that time. (Operator instructions). As a reminder, your conference is being recorded. I would now like to turn the conference over to our host, Mr. Dan Lesnak. Please go ahead.
Dan Lesnak: Thank you, Lois. Good afternoon. Thank you for participating in the U.S. Steel’s First Quarter 2013 Earnings Conference Call and Webcast. For those of you participating by phone, the slides that are included on the webcast are also available under the Investor section of our website at www.ussteel.com. We will start the call with introductory remarks from U.S. Steel Chairman and CEO, John Surma, covering our first quarter results. Next, I will provide some additional details for the first quarter. And then Gretchen Haggerty, U.S. Steel Executive Vice President and CFO, will comment on a few financial matters and our outlook for the second quarter of 2013. Following the prepared remarks, we’ll be happy to take your questions. Before we begin, I must caution you that today’s conference call contains forward-looking statements, and that future results may differ materially from statements or projections made on today’s call. For your convenience, the forward-looking statements and risk factors that could affect those statements are referenced at the end of our release and are included in our most recent Annual Report on Form 10-K and updated in our Quarterly Reports on Form 10-Q in accordance with the Safe Harbor provisions. And now to begin the call here is U.S. Steel Chairman and CEO, John Surma.
John Surma: Thanks Dan and good afternoon everyone. Appreciate you taking the time to join us today. Earlier today we reported a first quarter net loss of $73 million or $0.51 per share on net sales of $4.6 billion, shipments of 5.5 million tons. These results included a charge of $0.16 per share related to the repurchase of a majority of our 2014 convertible notes. Our segment operating income increased from the fourth quarter, primarily due to improved results from our Tubular and European segments. Now before I go into more detail on our segments operating results, I’d like to comment on safety. In 2013 we continued our efforts to maintain and improve upon a sustainable safety process. I’m pleased to note that through the first four months of the year we have not had an injury that resulted in an employee missing work for 31 days or more, tangible proof that our efforts are being rewarded and I thank all of our employees for their contributions to this very important achievement. Now turning to our Flat-rolled operations, we reported a loss from operations of $13 million in the first quarter as compared to income of $11 million in the fourth quarter. While our commercial results and operating performance were similar to the fourth quarter, the decrease in operating income primarily reflects the fourth quarter benefit from several smaller favorable cost items that were not repeated in the first quarter. Our facilities continued to perform extremely well as our U.S. plants operated at a 90% plus steel utilization rate. We expect our utilization rates to be lower in the second quarter primarily due to blast furnace and steel shop maintenance projects that are already largely completed. As we noted in our second quarter outlook, we expect our repair and maintenance costs to be approximately $75 million higher than the first quarter. Our Flat-rolled shipments in the first quarter increased slightly from the fourth quarter. Automotive demand remained firm and most other markets we serve were generally stable. As the markets that are currently strongest consume a higher percentage of value added products, we expect a favorable trend in the product mix in the second quarter. North America remains an attractive market in comparison to many other regions on certain products. While preliminary census data through March indicates sheet imports decreased by about 10% from the fourth quarter, they are comparable to the first quarter of 2012 and are increasing on value added products such as galvanized and tin mill. Which continues to negatively affect both prices and shipment levels for various product categories in our flat rolled segment. Now before I move on to our tubular results, as most of you may be aware, the labor agreement covering our Lake Erie Works expired on April 15. A successor agreement has not been reached and a lockout of represented employees started on Sunday morning. Our Canadian facilities are comparatively higher cost operations and we need a labor agreement at Lake Erie Works that reflects the position of this facility in a very competitive steel market. Our tubular segment income from operations was $64 million in the first quarter, a significant improvement from the fourth quarter. First quarter operating cost were lower as we had completed several maintenance projects in the fourth quarter. The first quarter results also reflect the benefits from increased shipments and lower substrate costs as well as cost benefits from recent projects and other cost reduction efforts. Although the average U.S. count trended lower from the fourth quarter 2012, the underlying drivers of the energy tubular market were mostly positive during the first three months of 2013. Domestic crude oil prices have remained near $90 per barrel which is typically supported, oil focused drilling. In addition, natural gas and storage ended the withdrawal season below the five-year average with the help of a colder than normal end to the winter season. As a result, the benchmark natural gas prices have risen 18% since the beginning of the year to over $4 per MMBtu. Given these conditions, we would expect drilling activity to increase. While rig counts are a good general indicator of activity levels, the drilling efficiency of rigs has continued to improved and actual demand is comparable to fourth quarter 2012 levels. Imports continue to come in at historically high levels during the first two months of the year, with OCTG imports averaging nearly 50% market share and line pipe imports averaging over 60%. Imports from Korea reached record high levels in January and are currently running well ahead of last year. Now turning to our European operations. As we have discussed recently we have received expressions of interest in U.S. Steel Kosice. The continuing Euro zone financial and debt crisis had weighed on USSK's results for some time, and we will face some additional challenges in the near future, particularly related to the investments in environmental control technology mandated by the EU's burdensome regulatory structure and carbon regime. Therefore we believe it was our responsibility to evaluate these expressions of interest in the context of our overall capital allocation strategy. And based on our consideration, we decided that it was in the best interests of all our stakeholders to retain our position in USSK. USSK is an excellent facility. Highly motivated, skilled employees. A very competitive conversion cost situated in a good geographic location with markets that have many times in the past provided very good opportunities for our company. In March, we signed a memorandum of understanding with the government of Slovakia that outlines areas in which the government will work with us to help create a more competitive environment for our operations despite the current challenging economic climate, that both of our company and the government face. This agreement provides the opportunity for a long-term improvement in our energy costs which we currently estimate could be approximately €15 million per year beginning in 2016. As well as the potential to receive as much as €75 million to partially offset the capital costs associated with the certain of these EU environmental initiatives. We appreciate the diligence of Prime Minister Fico and his government and his government to reach this agreement. We are looking forward to continuing our operations in Slovakia and producing positive results. Now turning to our first quarter results for Europe. We reported an operating profit of $38 million in the first quarter. A significant improvement over the $7 million profit we reported last quarter and the highest quarterly result for U.S. Steel Kosice since the second quarter of 2010. We believe the restocking cycle and the distribution chain that occurred in the first quarter has concluded. We expected a modest seasonal increase in the construction and packaging sectors and the second quarter will support shipment levels similar to the first quarter. Now in addition to our commitment to safety improvements that I mentioned earlier, we continue to focus on other areas that we can control as we’re not content to wait for an eventual global economic recovery to approve our results. Our objective is to position our company to deliver the best results possible regardless of market conditions. And in pursuit of that objective, we completed several strategic projects, have projects in progress and we are evaluating a number of future opportunities. All these are intended to improve our cost structure, operating efficiency, reliability and financial performance and support our customers’ continually evolving needs for more highly engineered and advanced steel products. Last quarter we outlined our overall carbon strategy to optimize the fuel blend at each blast furnace as the cost of coke, injection coal and natural gas may change. An important piece of the strategy included investments in coke and coke substitute production capabilities to improve our long term self-sufficiency in this very important raw material. The startup of C Battery at our Clairton plant has been completed and the battery is running at full production levels. At Gary Works, we completed construction on the first Carbonyx module late last year. Since then we’ve encountered some challenges largely in the front end coal handling and preparation systems. Given the current economic environments and our ability to satisfy our coke requirements in North America, we decided to slow the pace of construction activities on the second module to allow for some additional work on the first module to address the issues we’ve encountered to ensure a long term stable operating platform. Overall, we have confidence in the core technology and believe that the issues we have encountered thus far are manageable and that the anticipated long term operating and environmental benefits will be achieved. At our iron ore operations in Minnesota, we’re developing several smaller projects aimed at improving the yield on crude ore mined at our Minntac operations and we’ve worked with the appropriate authorities in Minnesota to extend the permits for the Keetac expansion project which remains on hold at this time as we continue to evaluate our future needs for additional blast furnace costs. At the same time, we’re evaluating our mining operations and pellet production process to determine the feasibility and technical requirements to produce low-silica DRI- grade pellets from our ore body. The initial phase of this evaluation is complete and we have determined that it’s feasible to liberate the silica from our crude ore and produce a DRI-grade pellet. Subsequent evaluation is now underway to determine the technical process requirements and the estimated capital investment required to produce DRI grade pellets from our operations if we would choose to do so. We’re focused on keeping steel the material of choice for the automotive industry as the auto makers’ work to meet the CAFE standards on fuel efficiency while also improving safety performance. We completed the construction of a technologically advanced 500,000 tons per year continuous annealing line that our Pro-Tec Automotive Coating company joint venture earlier this year and the commissioning process went very well. This state of the art line will process the next generation of advanced high strength steels with formability attributes that exceed our current range of products and will provide our automotive customers with a cost effective and environmentally sound alternative to other heating materials. We’ve been aggressively marketing these products to our automotive customers and are incorporating the use of these grades to achieve their advanced lightweight vehicle designs of the future. We’ve also continued to invest in our Tubular products capabilities and remain focused on research and development activities aimed at developing new steel grades to meet the energy industry’s specialized needs. We continue to work on adding to our existing portfolio of premium and semi premium proprietary connections. One result of those efforts, the new USS-LIBERTY FJM premium connection was introduced to the market last year and has been well received by our customers. And in the first quarter, shipments of our semi premium connections reached record levels as we continue to increase our participation in this very profitable business. In addition, we have a new Tubular services joint venture, Patriot Premium Threading Services in Midland, Texas that provides premium connections threading on our pipe, accessories and repair and technical and rig site services, primarily the customers in the Permian basin. Earlier today our Board of Directors approved a project to expand the production capabilities of the number 4 seamless hot mill at our Lorain Tubular operations. This project will increase the mill’s range of outside diameters from a maximum of 4.78 inches to just over 6 inches. We believe this project will allow for increased utilization of what is already a highly productive asset, as 5.5 inch OCTG casing is in high demand for shale play drilling and is in alignment with our strategic objective to increase our premium tubular products capabilities. This project in Lorain will also provide incremental productivity increases at our Fairfield tubular heat treat operations as a smaller end of the Fairfield production range will now be produced at Lorain, which is strategically located to serve an important and growing customer base operating in the Marcellus and Utica shale plays while increasing our ability to load the Fairfield mill with larger diameter pipe to serve growing demand in regions such as the Deepwater Gulf of Mexico. Also at Lorain, we have entered into an agreement with our neighbors, Republic Steel, to supply steel rounds to tubular operations starting in 2014, subject to the completion and startup of Republic's new EAF facility in Lorain. We expect to realize significant benefits from this arrangement including reduced transportation costs as well as increased flexibility in the ordering and receipts of rounds, as shorter lead times and faster delivery will improve our ability to match our rounds needs to our order book and manage our rounds inventory at levels aligned with our business needs. We are also working with Republic Steel on a joint study for a potential DRI joint venture. It could be located at Lorain and primarily feed the new AF that they are constructing there. Phase one of the study was completed last year and we are well into the second phase of the study where the project will be defined to the extent required for final decisions by the potential partners. Both companies would elect proceed, this project could afford us the opportunity to leverage the round supply agreement, abundance of competitively natural gas, and potential our own iron ore assets to provide a very attractive cost structure for our tubular operations at Lorain. We continue to make progress in implementing a comprehensive North American enterprise resource planning or ERP project to replace numerous legacy systems and processes that were developed over many, many years. This ERP investment will help us streamline standardize and centralize and improve the cost efficiencies of our business processes through the use of a fully integrated software solution. In addition to a number of smaller deployments, we have deployed the fully integrated solution at one operating location and we have additional implementation schedule later this year. We expect to complete our implementation schedule in 2016 and we anticipate realizing significant benefits in all aspects of our business, particularly through increased access to real time data that can help us all make faster and better business decisions. Now before I turn the call back to Dan, I want to address one more very important item. In this world of short-cycle and high volatility, we must continue to find new ways to significantly reduce costs in a sustainable way. In addition to the specific initiatives I just mentioned, under the leadership of Mario Longhi, our Chief Operating Officer, we are forming a series of cross-functional teams throughout the organization to increase our focus on a number of critical cost areas where we spent a very substantial amount of money. We will [tackle] these costs in a very focused and thoughtful way so that the cost savings will be sustainable, but with the urgency that is necessary in the world in which we operate. Areas of focus include purchase materials, logistics, repair and maintenance practices and spending, operating efficiency including quality productivity and reliability, and of course SG&A. We are not prepared to discuss the specific target for the potential savings at this time, however, our spending in these areas is in the billions of dollars annually and a small percentage or reduction would be very meaningful to our results. I don’t want to convey that these efforts are easy nor something that we can necessarily accomplish unilaterally, but we intend to employ the same type of leadership and focus to these opportunities to significantly reduce our costs, as we did to our efforts to dramatically improve our safety performance and to reduce our hot metal costs by optimizing our blast furnace fuels. Now I will turn the call over to Dan for some additional details on the first quarter.
Dan Lesnak: Thanks, John. Capital spending totaled $116 million in the first quarter and we currently estimate that full year CapEx spending will be approximately $750 million. Depreciation, depletion and amortization totaled $171 million in the first quarter, we currently expect to be approximately $685 million for the year. Pension and other benefits costs for the quarter totaled $109 million. We made cash payments for pension and other benefits of $120 million. We expect pension and other benefits cost to be approximately $440 million in 2013, and expect cash payments for pension and other benefits to be approximately $550 million for the year, excluding any voluntary pension contributions we may make. Net interest on the financial costs were $61 million for the quarter, excluding the $34 million charge related to repurchases of our 2014 convertible notes and a $9 million unfavorable foreign currency effect from the re-measurement of a U.S. dollar denominated intercompany loan. We expect net interest on the financial cost to be approximately $63 million in the second quarter, excluding any foreign currency re-measurement gains or losses. Now Gretchen will cover some additional items and our outlook for the second quarter of 2013.
Gretchen Haggerty: Thank you, Dan. I’d like to start with our cash flow. In the first quarter, our cash from operations was $233 million and after deducting our cash used in investing and our dividend, we had free cash flow of $134 million. Over the last 12 months we have generated just under $1 billion of cash from operations and have had free cash flow of $276 million. As our results have improved, we have reduced our net debt by over $600 million since the end of 2011 and our total liquidity has increased by over $700 million as both our cash and the availability under our credit facility has increased. Now I’d like to discuss our recent very successful capital markets transactions and the favorable impact they’ve had on our capital structure. In March we issued $275 million of 6.875% senior notes due in 2021 and $360 million of 2.75% senior convertible notes due in 2019, raising total proceeds of approximately $576 million. The re-pricing on these notes was attractive. The maturities fit well into our existing maturity schedule and the offerings well received by the markets. We used the net proceeds to repurchase $542 million of our 4% senior convertible notes that were due in May of 2014. This was our largest maturity at $863 million and as we’ve discussed in past calls, we felt that it would be a prudent and reasonable strategy to refinance at least a portion of the notes prior to maturity. These concurring offerings allowed us to take advantage of very low interest rates and strong conditions in two different markets to refinance the 2014 convertibles in a very balanced way. After the repurchases, $321 million of the 2014 convertible notes remain outstanding which is a very manageable maturity and the only significant one we have between now and late 2015. The repurchase of $542 million of the 2014 convertible notes also reduces our potential diluted share count by 17 million shares. The remaining balance of $321 million represents potential dilution of 10 million shares and will continue to be accounted for under the if converted method as they have been since they were issued in 2009. The newly issued 2019 convertible notes will be treated differently when calculating diluted earnings per share. Since it is our intent to settle the principle amount of these notes in cash upon conversion, they will be accounted for under the treasury stock method. Under this method, the 2019 convertible notes will not be dilutive unless the market price of our shares exceeds the convergent price of $25.29. In such case, the potential dilution would be limited to the number of shares equal to the in the money value of the conversion option in the notes. In effect, the principle amount outstanding is treated as debt since it will be repaid in cash and not in shares. Now turning to our outlook for the second quarter, we expect total reportable segment and Other Businesses operating results to be near breakeven. Results for our Tubular segment are projected to be comparable with the first quarter. However we expect lower results from our Flat-rolled and European segments. While we project North American flat-rolled market conditions for the second quarter to be comparable to the first quarter, we expect an operating loss for our Flat-rolled segment primarily due to higher operating costs. Our operating costs are projected to increase due primarily to higher repairs and maintenance costs , as John mentioned, as well as higher natural gas costs offset by lower raw material costs. With regard to the repair and maintenance cost, we are projected to be $75 million higher in the second quarter due to the maintenance project already largely completed at Gary Works and Lake Erie Works. Our realized prices including the effect of a more favorable product mix, are expected to be comparable to the first quarter while shipments are projected to decrease slightly. Our second quarter results for our European segment are projected to decline compared to the first quarter due to higher raw material cost, primarily iron ore. Shipments in average realized euro based prices are expected to be comparable to the first quarter as decreases in spot market prices are expected to offset by the positive effect of a higher volume of value added shipments. So we expect second quarter results for our tubular segment to be comparable to the first quarter. Shipments are expected to increase compared to the first quarter to support a high level of drilling activity, while average realized prices are projected to be slightly lower mainly due to increased shipments of welded product. Our operating costs are expected to decrease due to operating efficiencies related to higher production volumes. And then our operating profit from other businesses is expected to increase approximately $30 million due to a real estate sales expected to occur in the second quarter. And finally, we expect a minimal tax provision or benefit in the second quarter, primarily due to the full valuation allowance on deferred tax assets in Canada. That ends the outlook, Dan. I will turn it back to you.
Dan Lesnak: Thank you, Gretchen. Lois, please queue the lines for questions.
Operator: (Operator Instructions) Our first question is from the line of Brett Levy from Jefferies. Please go ahead.
Brett Levy – Jefferies: (Inaudible) got a very favorable pension deferral and you guys obviously have those Stelco assets. Is there any chance that you could potentially get some deferrals as well?
Gretchen Haggerty: Well, we do. We currently actually have a -- we operate under what's known as the Stelco regulation. So we have been, it's actually beneficial regulation that was in place when we acquired those assets. So I think we already have an arrangement that’s perhaps different than what the requirements of some others might be.
Brett Levy – Jefferies: And the other question relates to the back half of the year. A number of firms have said that there is higher potential for better profits in the back half of the year. Are you guys thinking similarly and if so, why?
John Surma: Sorry, what was the first part of the question, Brett?
Brett Levy – Jefferies: A number of other firms have said that the first half of the year is going to be lower and the second half of the year is going to be higher. And I am just wondering kind of beyond the second quarter, if you guys have some visibility. Do you have the same sort of optimism and if so, why?
John Surma: Yeah, I haven’t read anything that suggests much optimism. But, no, our visibility isn’t that far out. I mean do our best to give everyone an outlook into the next quarter, but the back half of the year depends largely on macroeconomic factors. We see annual forecast for world steel (inaudible), those sort of things and a variety of different price tags that one could visit and see. And in terms of what we actually know through the latter part of the year, really nothing that would be of consequence that would be based on anything except conjecture. So I wish we could help on as to where we are essentially expecting this to be a year of some stability and the things would improve in the latter part of the year, that would be great.
Operator: Thank you. And our next question is from Shneur Gershuni from UBS. Please go ahead.
Shneur Gershuni – UBS: My first question is related to the elevated maintenance expense that’s occurring this quarter. You know last year was a pretty elevated year kind of across the board and you are having an elevated expense this quarter as well too, whereas we thought it was going to be more of a more normalized year. How does this -- how are you looking at maintenance right now? Is it running according to plan? Is this a quarter where if seasonal is going to be higher this quarter or lower in the next few quarters. If you can give some color and flavor on how to be thinking about maintenance and whether it’s going to be elevated again or whether it returns back to normal levels as we think of the rest of the year.
John Surma: That’s a very fair question, Shneur. I’ll do my best. The way we measure it we include the actual cost of projects that are not capital, but just cost projects and include some measure of the inefficiencies to go with that. So we try to have a reasonably good measure of what the overall cost is. And this second quarter because we had two fairly sizeable projects that need to get done for physical reasons, regulatory, environmental reasons etcetera, in all probability the second quarter of 2013 will be the highest maintenance cost quarter for us. Current scheduling indicates we’ll probably have a couple of projects to do in the third quarter. There would be lower costs, but still it would be a good sized cost in the third quarter and then the fourth quarter would be probably the lowest of the year and that all would come to pass. Our overall costs for the year will still be somewhat below what the cost was last year. These are big projects and when things need to get done on a hearth or on a topper, when down-comers are on Bosch linings and we have to shotcrete for longevity. We do other things. We do the steel shop hood at the same time. We try to put all that together and do work on the strip nodes at the same time. There can be a pretty good cost. There’s no really good way to smooth that out at all. When it comes it comes and we can plan it with some precision, but we move it back and forth for physical as well as market reasons. So the best I can tell you, this should be the highest quarter of the year. It could always change, but that’s our current thinking. Next quarter, down a bit. Still some work to do. Fourth quarter should be the lowest of the year.
Shneur Gershuni – UBS: And my follow up question, I understand it’s hard to speculate as to what’s going to happen with respect to the lockout. But that being said, I was wondering if you had something for us to think about in terms of weekly, monthly or quarterly costs, like what the operational costs it will be the run related to the facility as we think about if this extends for an extended period of time how we should think that it’s going to impact earnings on a go forward basis. Any metric you have would be helpful.
John Surma: I’d just remind you that we went through this roughly some two years ago. I’ve forgotten exactly when it was now. I think when we get to the point we are now where we essentially have a facility preservation program that we’re implementing to make sure that the equipment is cared for properly and the coke batteries stay warm and the equipment is lubricated and exercised and we’ve got power where we need it. There’s a certain amount of cost and I think the last time we got up to $45 million or $50 million a quarter, a large portion which is deprecation and property taxes and pension charges and we went through the actual operating costs. I don’t know where we’ll be this time, but I’ve used that as a rule of thumb. That probably wasn’t a bad number last -- that’s the number we used last time. That probably wasn’t a bad number last time. This quarter it would be only for part of the quarter, but we were down for most of the quarter anyway on the blast furnace project. So it’s going to be carry across the quarter either way you look at it. It’s actually $45 million to 4$50 million and we hope that that’s not a subject we have to discuss for a long time. But that’s probably where it would be.
Shneur Gershuni – UBS: And one last follow up question. Are there any maintenance covenants that we need to be thinking about when we think about your trailing EBITDA and so forth?
Gretchen Haggerty: No, Shneur. We don’t have any financial covenants that way. We do have a fully loaded fixed charge coverage ratio in our credit agreements which have the effect if we don’t meet that that as long as we have maintained a certain level of liquidity on the facilities I think it’s $87.5 million, then it has no effect.
John Surma: Just one more point on what we’re talking about since you mentioned it. We’re not making steel today in Canada regrettably, but we’re selling steel in Canada. Our finishing facilities, our pickle lines, our cold mill and our galvanizing lines, one construction one, really a high end auto line are running fine. We’re fulfilling all of our customers’ requirements. We have a plan to do that, plenty of inventory in the line to do that. So we intend to continue to operate commercially as we had before this unfortunate circumstance.
Operator: Thank you. Our next question comes from the line of David Katz from JP Morgan. Please go ahead.
David Katz – JP Morgan Chase & Co.: You guys have had an impressively low SG&A for two quarters in a row. What allows the decrease and is the $145 million approximate level sustainable?
Gretchen Haggerty: I guess, I mean off hand I am at a loss right now, trying to remember what the explanation was.
John Surma: Well, I think if you look, compare it to the prior year, I think Serbia being out of that was in for a part of the time. That would be one thing. But also have somewhat lower retire healthcare cost at this point that we made some changes in the plan last year. Some of that would go through that number. So I think we have controlled that. Our stock compensation expense has not been [of the size] that it had been in prior years as well. So it's the entire suite of things and we are at a very tough competitive market, we are trying to watch our cost. I don’t know of any reason why we won't continue to chip away at that. That’s one of the subjects that I mentioned earlier that my distinguished colleague, Mario Longhi, is going to be focused on. And our objective will be to keep driving it down.
Gretchen Haggerty: And of course, with the pension and [opec] piece of this, that’s set at the beginning of the month (inaudible) of the obligation, so that is steady now for the year.
David Katz – JP Morgan Chase & Co.: Okay. And turning to Europe. It was also the second quarter in a row in which the company's European segment shipments were around 20% below production level, which is different from what you historically have run. What caused that and is there any segment inventory that’s being built there?
John Surma: Well, we are not building a lot of inventory, that’s not our line of work. The cash flow that Gretchen mentioned, I think demonstrates that that -- and we have got to [cap] those occasionally in front of outages, but that’s not our line of business. We are not making steel for the fun of it. So, I think, I am not sure what figures you are looking at, but if you are saying we are producing below capability, that maybe true. We are producing for the market. We had had some slabs, semi-finished business in recent quarters that was reasonably attractive, and that’s not as positive now. I mean Dan will have to see what numbers we are talking about. But we are producing for the market not building inventory and our utilization rate for the quarter was at 98%, I think. So we ran reasonably hard. It was a good quarter, shipping wise and production wise. So I don’t think we will have to pull on a table, if we are not shipping anything there would be some slabs we didn’t ship just because that business has not been as attractive to us. I think we finished on most of that [raw] steel. I think 98% is a reasonably good number. We can go above that from time to time but I think we didn’t leave much on the table.
Operator: Our next question is from Gordon John from Axiom Capital Management. Please go ahead.
Gordon Johnson - Axiom Capital Management: I just had a couple of questions. Number one, with respect to your cash flow. If I look at the past three years, there has been a pretty significant decline on average from Q1 to Q4 in your cash balance. And given that the CapEx appears to backend loaded, should we expect a similar deterioration in your cash flow through the remainder of this year and is that a concern? And then I have a couple of follow-ups.
Gretchen Haggerty: I think really if you look at our working capital pattern, we do tend to generate more favorable working capital in the first and second quarters of the year. And so that would, we [have] this as a general rule if you think about business. You know the lakes freeze and we are really building inventory leading up to that and then consuming in the first quarter and into the second quarter. So that’s really part of what you will see there. From a capital spending standpoint this year, we are lower in the first quarter. Dan told you that we were looking at spending on order of $750 million this year. So it is somewhat backend loaded. You know we do perennially, close enough, but under spend our (inaudible) now we have had kind of a history of doing this. So we are pretty good about managing it that way. But I would say, it's somewhat backend loaded this year, relatively speaking.
John Surma: And part of that is to some degree is by design. If we try to live within our means and we only want to spent what we have, and so if we need to cut back or delay it's not fun. But we can usually do that with some tolerance and we leave ourselves some opportunity to do that if we can.
Gordon Johnson - Axiom Capital Management: Right. And then I guess this is a broader question. But when I look at the overall capacity of the U.S. steel market, it's been increasing since 2004. And when I look additionally at the utilization rate of the steel mills in the United States, starting this year at 73%, now it's 78%. Clearly, prices have been going down in U.S., HRC, scraps, spot etcetera. Is there any concern from your perspective that due to the cost to shut down plants, the overcapacity may intensify through the rest of this year and maybe weigh on prices further?
John Surma: U.S. is a net importing market. So I don’t know how you define excess capacity when there’s net importation and that was one way to define it. I’m a little puzzled by your comment about capacity increasing since 2004. I guess that’s possible, but there has also been some that’s been taken out since within the last year and it came out with the statistics that the institute publishes. And I’m not sure that overcapacity the U.S. is a problem necessarily. I think it would be much better market position if there was better demand, if we had policy that encouraged manufacturing and domestic consumption. And for our trade laws we’re respected and we weren’t necessarily being punished consistently with low priced imports from countries that are conducting social policy, not conducting business affairs, particularly in the higher end product ranges as I mentioned. But just a number you might take a look at, I noticed this just late yesterday, that the AISI statistics were out for March and I think this is the monthly report which has a pretty good sample of 75% or so of the reporting if I understand it. And the raw steel production in the first quarter of this year was about 23.7 million tons. Utilization rate at 77%. Last year it was 25.6 million tons. So like 1.8, 1.9 million less raw steel production in the U.S this year. And that could be the facility or two that’s out of production. But that actually should have less capacity in the market with these statistics. I can’t tell you who it is, I have no idea. And with imports in total compared to last year about the same and demand about the same, it’s odd that we have the market position. It’s a long answer, but as a net importing country the notion of overcapacity is one thing. I think we have to have competitive capacity and I think in the U.S and North American market with good raw materials access, ferrous, scrap, iron ore, coal, gas, we should be a competitive industry.
Gordon Johnson - Axiom Capital Management: That's extremely helpful. And then when I look at your Tubular division, very, very impressive progress on cost reduction there, down roughly $139 million overall. Can you help us understand how you guys achieved that great achievement? And then lastly, can you talk a little bit about the automotive market and what you're seeing there with respect to the puts and takes and if demand is still strong there? Thanks a lot for the questions.
John Surma: Sure. On the two meter side, I think we had some scheduled major maintenance projects in the fourth quarter last year in terms of hot metals and things we do from time to time. So I think that's one reason why costs were down quite a bit. And then we've had some pretty aggressive cost reductions, particularly on our well bored mills where we're really in a bit of a fight there. So I think we've done good cost work period time, from period to period, but also some non-recurrence of larger maintenance projects. Gretchen?
Gretchen Haggerty: And I think on the substrate side they had some …
John Surma: Oh yeah. Of course. That -- we call that out separately, but on the consumption of hot band from our steel group to our Tubular group, which we transfer at a market price as best as we can discern it for, we sell the same things to other people for, that follows commercial hot band prices which regrettably as we all know has trended down. In the auto market, I think the auto market for us has been quite good. I think our sentiment on that is still positive and we’ve derived that sentiment from talking to our customers and we supply almost everybody and they all seem to be optimistic. I think the rates of growth may have leveled a bit, but that's because we were coming from -- they were coming from a very, very low base. But the auto market for us remains very positive, very favorable in terms of total volume, but also in terms of progress on the high-end products we like to supply them to try to make sure the steel stays a material choice. So I would say for auto for us, we're quite positive. It’s a very important market for us and we hope it stays that way.
Operator: Our next question is from Luke Folta with Jefferies. Please go ahead.
Luke Folta - Jefferies & Co.: A question on Lorain. Firstly, the investment that you talked about expanding hot rolling capacity, does that actually expand the amount of output that you can get from that facility? Number one. And then as just a follow-up on that, the new agreement with Republic for the round supply agreement, is that displacing your internal production from Alabama, or does that displace the production that would be coming in from the big third-party supplier that you have to that mill?
John Surma: A couple of things. I think that the expansion on the upgrade on the 4 mill will give us some additional firepower and we'll have some additional capacity. How much remains to be determined, but we'll have some additional capacity there. And as I said, it also allows us to have some better opportunities for having the right product mix that might suit us better in Fairfield. So, it has really a couple of advantages. And then also, we can make up to 6 inch, which is coupling stock territory, so we got to have an alternative source of coupling stock which also gives Fairfield a little bit more room to run if they've got heavier and bigger walls to do for offshore. So really it allows us to more fully utilize the new heat treat facility, finishing facilities we've put in our No. 6 line in Lorain. So it really rounds out the whole system in a really positive way and gives us benefits all the way through. On the rounds project, if I remember you questions, I may have forgotten in the middle, but it will largely supplant commercially purchased rounds that we have been purchasing from a number of sources. We'll continue to have a commercial relationship though with our outside sources. We intend to maintain that just for good alternative supply sources. We look to get the majority of the supply assuming the project that Republic is building is completed and it should be very cost effective close by and much better. Really, the plants are on schedule. Our existing suppliers have been excellent to work with and we expect to maintain a good relationship with them. Did I miss anything, Luke, in my answer?
Luke Folta - Jefferies & Co.: No, I think you got it. You got it.
John Surma: Thank you. But we did supply some rounds to Lorain from Fairfield which we will continue to do in certain cases for material that makes sense.
Luke Folta - Jefferies & Co.: Okay. You talked about the test you're doing on your iron ore to figure out whether or not it can be used for DRI process. Basically, whatever you have to do to the iron ore to remove the silicon, is that a process that you think would materially alter the cost structure that you have for your iron ore mines there?
John Surma: Well, the initial phase that I mentioned, Luke, that demonstrates sort of scientifically in a laboratory setting that the ore body, the ore grade can be ground to the point that the silica is liberated from the ferrous material. So a scientific determination and we've determined that it can be. Now we're going through a second stage process which is really engineering oriented to try to determine what the proper flow would be to move the material through the system, where we have to put in additional floatation, what the cost would be. And the objective would not be to change the extraordinarily proficient cost structure we have now in any negative way. It would really be to see if we could fit something in, additional floatation equipment most likely, that would allow us to liberate silica to an appropriate level for DRI pellets in a way that was consistent with our overall operating parameters at Minntac. So that's what we're looking for right now and we're going through that with an engineering study, and we will have more to report on that later.
Operator: Thank you. Your next question is from Timna Tanners from Bank of America Merrill Lynch. Please go ahead.
Timna Tanners - Bank of America Merrill Lynch: So, wanted to delve into your project updates on page 12, I thought those were really helpful. Just trying to get a little better color, you talk about living within your means and yet there is still the public information about your interest in bidding for TK's Alabama assets. In your Q, you talk about the Keetac expansion, and then there is always other projects. So, can you help us understand the priorities or help us quantify some of the cost of some of these other investments on page 12? Thanks.
John Surma: Sure. Well, just for the record, I don't think there is anything on any public record about the one matter you mentioned that we've said. So, I think all we said in response to questions about a current M&A activity that we read about is that we are interested in things in our territory, in our region and our markets and there is nothing else we said that you may have read. Others can say what they want. Keetac, I addressed earlier in my comments that we have the permits extended and we're still considering that project. But in today's word it's not something that would allow us to live within our means. The Clairton Battery is done and it's a $507 million project. We have had those number in the 10-K, so you can help yourself there. Carbonyx, we've talked about $250 million or so something like that. It will cost more than that when we're all done. Most of that's already been spent. There would be some more, but not a whole lot probably. Really nothing to report on the iron ore project. Those are in the conceptual phase. But these aren't (inaudible) number projects, these would be tens of millions, twenties of millions. I think there could be some a little bit more, but they would be relatively short, relatively low cost and really high ROI. This is taking largely finding ways to take additional ferrous material that we're not getting today in the ore processing process and put it back into a pellet. So these are extremely high ROI projects. The PRO-TEC project we say is 400 million some to finance the joint venture level with our partner Kobe. And I think the other ones are on the way through, the Lorain DRI project. We're not really anywhere near a project there, but most projects would be 1 million tons, 1.1 million might be the normal size range and I read in magazines and engineering and talk to engineering experts that the cost is $318 a ton or something like that. So you can do your own multiplication. That would be about where we are. The Lorain Number 4 mill, that's a good sized project. It's probably in a $100 million range when we're all done with the engineering, but it would be in that range. Now the ERP has been going on for a long time. So we really don't try to capture that all at one time, but it's not just systems replacement. It's really we do it in entire information flow system that had grown up for 50 years or more and year by year, we chip away at it and when we’re all done it's going to cost hundreds of million dollars, but we chip away at it year by year.
Timna Tanners - Bank of America Merrill Lynch: That’s super helpful. Sorry, to be a pest, but would you -- are you commenting on whether or not you are interested in this or not at this time?
John Surma: Well, I think I gave you a comment, Timna. We are interested in things that are in our market that would make sense, but really nothing more beyond that. We can't talk to that.
Operator: Our next question is from Brian Yu from Citigroup. Please go ahead.
Brian Yu - Citi: John, my question is somewhat related what Luke had asked earlier is with your agreement with Republic, is that distinct or somehow related to your future plans for the aging blast furnace over at Fairfield works?
John Surma: No. This is really Lorain, Republic. They are going to build electric furnace which is of course still their decision, but we visited on that and seeing it makes good commercial sense and operating sense from our standpoint. So we're going to have a commercial relationship with some of the new projects done on time and on schedule. But really separate and distinct from any considerations we would have in Fairfield. I think there would be some relationships just because we move some material back and forth, but it really doesn't have any strategic -- significant strategic relationship to what we may or may not do in Fairfield now or later.
Brian Yu - Citi: And then along those lines with Fairfield, any updates on thinking in the gas to furnace and is that something you guys would have to address over the next couple of years?
John Surma: Probably the next couple of years, there's no urgency. We've had -- the question really is the hearth and the lining and how long that will last. And we've got pretty good therma couple reads on it. We've used all the right techniques to use (inaudible) and other things to try to make sure we keep the bottom in pretty good shape. There's nothing imminent here. We've got plenty of time, a couple of years at least, two to three years probably before we have to make any decision. We may decide before that, but there's nothing imminent.
Operator: Our next question is from the line of Mark Parr with KeyBanc. Please go ahead.
Mark Parr - KeyBanc Capital Markets: I’m really intrigued with your comments about cost-reduction initiatives, John. I don't think I've ever heard you make such a spirited case for the opportunity. And I know you're not really in a position to give any details, but is this something that that could be a nine figure savings for the organization over a period of years?
John Surma: Let me do some quick math here, Mark on figures, Oh yeah. Again, we’re in the billions of spend that we're talking about, Mark. I think if you just roll the video tape back to 2002 and 2003 in connection with the new labor contract and the addition of National Steel. We had some cost savings programs which are of the same genre and have the same big impact in a relatively short timeframe. So those circumstances aren't necessarily with us, but this isn’t the first time through this and we made very substantial reductions in administrative costs and also in operating costs and huge increases in efficiency, logistics. So we've done this before and every year we have a CCIP, Continuous Cost Improvement. For every year we have that and every operating units of the company has an objective and it's in a big web-based system and they have objective that’s x cents per ton or it's x dollars per ton and that rolls up into a total corporate number and it's in the single-digits per ton or something like when we had good natural gas opportunities. It's more than that. But we're talking about something that, we do that routinely. This would be even more intense and focused in that to try to take a pretty big stick to thing. So we've done it before and we're doing it again. What the result would be remains to be seen, but we thought it was worth just mentioning that. But thanks for noticing.
Mark Parr - KeyBanc Capital Markets: Okay. And I appreciate that extra color. And then one other follow-up question, if I could. You're talking about, and strategically you've become a lot more interested in consuming natural gas, using it as a fuel. I'm just wondering if you're considering any opportunities to perhaps vertically integrate, given the massive amount of shale based opportunity that there is throughout the Midwest or throughout the country actually?
John Surma: It's a good question, Mark, and I guess the short answer is, yes, we are. We're big gas users. We would be one of the larger non-utility, non-chemical company gas users probably in the U.S. So we're buying a lot of gas, using lot of gas every day, and we do a lot of work to try to make sure our pricing stays within a decent zone. But given today's opportunity, that's something we have been looking at and have to look at. We have to be mindful again of living within our means and capital. But there are financial ways to do that but the depth and length of that market is one thing. There are contractual ways to do that. Again, there may be certain approaches and then there could be physical, where you're taking a working interest or you have a production team or something like that. So I think we have all that on the griddle. We've actually examined a few opportunities and I think it's something we'll continue to look at, subject again to availability of capital. But in this world natural gas, the leverage on that commodity is really, really good for company like us.
Operator: Your next question is from Sal Tharani from Goldman Sachs. Please go ahead. Thank you.
Sal Tharani - Goldman Sachs: I wanted to understand the Lake Erie closure cost. The guidance you gave does not have the idling costs in those. Is that correct?
John Surma: Let's just say, Sal, that I think, Gretchen, you correct me if I'm wrong here or Dan, or both, but the guidance we gave you was -- we considered that in the guidance we gave you. We were not exactly sure how much it's going to come out so we'll ask your indulgence there. But I think we had some consideration of what that might be when we gave you our guidance.
Sal Tharani - Goldman Sachs: Okay. Great. Also, John, you are working on the cost reduction but if I look at the estimates on iron ore prices over the next couple of years, general consensus is that's coming down pretty sharply? And I was just wondering, in overcapacity of steel world that probably is going to drive the steel prices down, and you being a much fixed cost on the steel prices. So I am just wondering how do you see the measures you can take, because we are at $600 plus steel price and you are struggling to make profit and I just wonder what kind of cost reduction you can do to reverse this? And it has to be pretty dramatic if steel prices are going to come down to, let's say, $550 following iron ore which most people think will be below $100 in a year, year and a half from now.
John Surma: Whether or not we agree with the figures, I think you are raising a very reasonable question. The cost reduction is what I described earlier that my colleague Mario Longhi is going to lead into, not just go through our normal programmatic cost reduction but to take a theme based approach to focus really on some very large items and try to take a very focused and hard-headed look at it as fast as we can because I think we want to stay ahead of that curve. We need to make sure we drive our breakeven point down further than it is today and that's what our objective is, Sal. So, I think you are pointing us in the right direction and we concluded that was something we had to do and that's why Mario has been leading this project. But I think that project is the response I think that I would give to your question.
Operator: Thank you. Our next question is from Richard Garchitorena from Credit Suisse. Please go ahead.
Richard Garchitorena - Credit Suisse: A Couple of quick questions. First on nat gas, you mentioned that it was going to be a headwind in the second quarter. Do you have any hedges in place and how should we think about pricing as it goes through the second half of the year? And then the follow-up to that is, what are you doing, I guess, with your plans with respect to balancing out the use of nat gas with PCI where it is and balancing the cost advantages that way?
John Surma: I'll let Gretchen maybe comment on your question about hedging, but just on the latter point as I think we've explained it. We have furnaces that can take almost every injectants now. We've got the right equipment to do it. We've got the deliverability for gas. We have oxygen in a reasonable supply at most places now and coke oven gas in some places as well. So we try to get given what we have the optimum level of injectant and the optimum level of iron reduction for the lowest cost. And so we just fine-tune that as we go, not every day necessarily. But I think each furnace is not exactly where it needs to be and as they go through maintenance projects up and down, you have to put more coke in, et cetera. But those that are running steadily, I think we're about as close to having the optimal injectant levels as our operators can make it. They will continue to refine it. But we're -- what I think you may be alluding to is that with injection coal where it is and we've been able to get some really good coal for a reasonable price to inject and that's got better Btu for it, that if you get to really high levels of gas, it really is probably better to have more coal at that point and a little bit less gas because the gas begins to cool the reaction. We don't get the same level of combustion to reduction we'd like. So we have scientists who are ciphering all that out right now and on balance we have little more coal now than gas, which might have been your question. Just on the hedging in general, we do a couple of things. We sell our steel products forward with either fixed or firm or some firmish kind of a price and that has in it 5 or 6 MMBtus of gas in every ton. So we generally try to buy some of that forward as those sales contracts are entered to try to lock that margin. Not every ton, but some significant portion of it. And we also have some gas we buy for electricity generating. We try to make sure we lock a good bit of that in. And then we do just some opportunistic purchases and this is almost all physical. We may be do some paper; Gretchen can comment on, but we do some opportunistically where we have points that if it goes below or above we might take an action and that's not a huge part of our overall volume. The majority of our gas is still being purchased after-market on a spot basis. But we're using 120, 130 Ms per year in North America. So you divide that by four and take it down to whatever the price change is and that gets you to the current number we're talking about.
Gretchen Haggerty: That's pretty close, yeah. No, I think we've tried to systematically buy forward, but relatively short periods of time, maybe 12, 18 months, some up to maybe as long as three years. But nothing out real, real far for a 100%. So we have a fair amount of exposure. I don't know, John, maybe 30% or so.
John Surma: It could be the total, yeah.
Gretchen Haggerty: Where we have to be in that rolling program.
John Surma: But our cost that we're saying and we'll have some gas cost increase, if you can take like to make it simple, 130 divided by 4, that's – 120 divided by 4 is 30. I'll try to make it easy myself; 30. So you say $0.50 an M or something on that, less whatever we've already purchased in advance. So you get somewhere in that zone, $10 million to $15 million probably.
Gretchen Haggerty: Right.
Operator: Our next question is from the line of Charles Bradford from Bradford Research. Please go ahead.
Charles Bradford - Bradford Research: Could you talk a bit about Lake Erie and whether you have much inventory between it and the Hamilton plant, the cold mill and the Z-Line and how long can they keep going?
John Surma: Those are I think, Chuck two different questions. The first one how much inventory? I don't know how much inventory we have. But we have inventory in position to make sure that our customers can -- and customers of those lines can and it can be well taken care of and those -- we supply both Canadian and U.S. customers. So our pickle lines are running with plenty of hot-rolled in front of them to keep them up and running and we will be able to then supply our cold mill in Hamilton and our two galvanizing lines there. And there isn't a time limit here. We can move hot band from an all probability Great Lakes, just given the geographic location. It could be elsewhere into Canada pickled or unpicked. We could pickle it there with the cold mills. So we expect to be able to serve our Canadian customers in the Canadian market who are really good customers who we work very hard to get close to and to continue to develop our share there. We expect to serve those customers without missing a beat and we're going to get them what they need on the terms that we agreed without missing a beat. That's our commitment and plan.
Operator: Next question is from David Lipschitz from CLSA. Please go ahead.
David Lipschitz - CLSA: So my question is how auto is running sounds like extremely well back to -- almost back to where we were in the mid-2000s. We know non-res is well below where it was. What changes dynamics especially of consensus like Sal talked about on iron ore and things like that that changes the dynamic of supply demand? Do we need to cut supply because non-res is such a low level it is going to take I think several years or I believe it’s going to take at least several years for it to improve. So what changes anything in the one-year type of timeframe?
John Surma: It's hard for me to predict any one thing or for us to predict any one thing. I think there is a couple of macro things that are worth looking at, you've touched on couple of them. Steel is a regional business still to some degree but there are macro, more global influences that we have to live with. An earlier comment I referred to global overcapacity, there is probably some of that in Asia, probably some of that in Europe. And then there are, of course, other traditional exporting countries that steel industries were built for that reason with currency policies that are designed to promote that with their national government support. Does that have an effect on our market? Undoubtedly. And how much I don't know. But I think the global supply system, not that there are tons coming from Shanghai harbor right to Chicago, but it affects other supply and demand relationships in Europe and in South Asia which then affects the West Coast, and it affects the Gulf Coast and it affects the Midwest. So it ripples through the system over time. Raw materials, structures, ferrous, I guess the (inaudible) number is 130 or so right now, probably something like that or maybe more than that. Yet there are others that are saying it should trend downward. That would not be supportive necessarily of more vibrant steel markets from a price standpoint. Scrap, which is so important in the U.S. has been fairly languid, mostly sideways down occasional up, but that's not been terribly supportive. And on the demand side, on the domestic supply side as I mentioned earlier, there is actually less supply from domestic production in the market in the first quarter than it was last year. So, demand as we see and our order rates have stayed relatively steady. The auto market has been relatively good, appliance market relatively good, tinplate relatively positive. The intermediate service centers, those that hold inventory for a living, must have inventories at a relatively low level. I mean we'll see what the statistics tell us. But I really think it would take something that would change their mindset about optimism for the future and that would be a better economic news. And I think as long as we continue to undershoot GDP, undershoot employment, everybody is understandably cautious and nervous, so no one wants to buy more than they absolutely need. So that's a long answer to your question, but I don't think it's any one thing. I think it's great that the residential housing is moving in the right direction by everything we read, not that we've seen a whole lot of that. But non-residential is going to take a while. We've had, in our construction business, which starts in agricultural and roof panels and things like that, we've done okay, but not great. I think we look forward to those customers having better year this year, and hopefully better year next year. So, those are all macro factors. So I don't think there is anyone that's going to put us exactly in the right place. But when I look at the supply demand and I look at our order book, I look at this year's prices versus last year's, we're really hundred and some dollars below where we were last year, which is lower than it was a year before that. That’s not a very sustainable place and I'm not sure what it's going to take, but I think better demand at a more balanced global steel market would certainly help. I'm not sure how soon those two things are going to happen.
David Lipschitz - CLSA: So does that mean somebody has to take a stand and take supply off in order to fix this or is everybody just going to suffer for the next six, nine months and hope for the best? I understand cost initiatives and all that type of stuff, but it does, I'm not saying you, I'm just saying in general, does somebody or industry as a whole has to take a stand and they would just not going to produce and say, you know what, go find your steel somewhere else and if you can't then come back to me but I'm not going to produce at these levels.
John Surma: I can't really comment on anything like that. We can only do what we do and control what we control. We produce to an order book and we produce at a cost that gives us some margin. If there is no margin we'd probably wouldn't produce it. But I really can't speak to it, there is no industry activity like that. We are all making -- at least we're making individual decisions, and we'll make decisions we think are right. And we've been saying for a decade now that we're going to produce what our customers order and that's all we produce. We're not going to be producing what they produce with the order, if we have a decent price we'll take it, if we don’t, we don’t. That’s our plan. Having said that, our U.S. facilities are running at pretty high levels, I think in the first quarter we were, If you could take out, we were at 82%. If you would adjust for the outage at Hamilton, we're in the 90s and that's probably where we are today.
Operator: Thank you. And our final question is from Aldo Mazzaferro from Macquarie. Please go ahead.
Aldo Mazzaferro - Macquarie: Most of my stuffs have been answered, I just had a couple of quick ones. Can you tell us what's going on in the raw material market in Europe that would cause higher prices in the second quarter? Is that some lag effect that you have?
John Surma: Good question, Aldo. It's one that I asked. No, I think, I mean there are supply demand dynamics in that market and there is China and there is the Black Sea and all that. We have very strong competitive supplier and we're competitive at the same time. But I think we were in a -- just looking at our position, we were probably quite competitive versus the market in the late fourth and early first quarter. And I think we're moving back towards the markets with increases we indicated we would expect to incur in the second quarter. I think our prices are still quite competitive, but we have -- some know this pretty clearly that particularly in that market we have, where we have some excess pellets from time to time that are positioned in a place we get them in into deep water. We've moved most material into Slovakia from North America. Not huge amounts, but it's meaningful to our business there and establishes I think a somewhat more competitive founding for us to have a discussion about the next quarter. So we'll continue to do that just to make sure that we've got something to work with. But I think it's just the market and the market was coming -- we’re coming back to the market and we're trying to make sure we maintain our advantage for as long as we can. Gretchen, you want to add?
Gretchen Haggerty: No. I think that's good.
Aldo Mazzaferro - Macquarie: Just another quick one on the Lake Erie plant. Can you say what your run rate was shortly before the work stoppage? And second question on that, do you pay the workers during a work stoppage or is it similar to a strike where they don't get paid?
John Surma: I don't think we are paying them during the work stoppage, no. Although and I -- just before we took the furnace down for the project, I think we were running relatively full. That would have been at 90% or 80% or 89%. So I'd say right around 90% probably would be a close enough number, but we were running pretty hot at that point, but that would have been through most of the first quarter and then the furnace came down for this project.
Operator: Thank you. And that does conclude our questions for today.
Dan Lesnak: Thanks everybody for joining. We certainly appreciate your interest. And we'll be back again in July. Thank you.
John Surma: Thanks everybody.